Operator: Good morning. I would like to welcome everyone to the Plaza Retail REIT Third Quarter 2023 Earnings Conference Call. At this time, all participants are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] I would like to advise everyone that this conference is being recorded. I will now turn the conference over to Kim Strange, Plaza's General Counsel and Secretary. Please go ahead, Ms. Strange.
Kimberly Strange: Thank you, operator. Good morning, everyone, and thank you for joining us on our Q3 2023 results conference call. Before we begin today, we are obliged to advise you that in talking about our financial and operating performance and in responding to questions today, we may make forward-looking statements, including statements concerning Plaza's objectives and strategies to achieve them as well as statements with respect to our plans, estimates and intentions or concerning anticipated future events, results, circumstances, or performance, which are not historical facts. These statements are based on our current expectations and assumptions and are subject to risks and uncertainties that could cause our actual results to differ materially from the conclusions in these forward-looking statements. Additional information on the risks that could impact our actual results and the expectations and assumptions we applied in making forward-looking statements can be found in Plaza's most recent annual information form for the year ended December 31st, 2022, and Management's Discussion and Analysis for the nine months ended September 30th, 2023, which are both available on our website at www.plaza.ca and on SEDAR+ at www.sedarplus.ca. We will also refer to non-GAAP financial measures widely used in the Canadian real estate industry, including FFO, AFFO, NOI and same-asset NOI. Plaza believes these financial measures provide useful information to both management and investors in measuring the financial performance and financial condition of the trust. These financial measures do not have any standardized definitions prescribed by IFRS and may not be comparable to similar titled measures reported by other real estate investment trusts or entities. They should be considered as supplemental in nature and not as a substitute for related financial information prepared in accordance with IFRS. For definitions of these financial measures and where to obtain reconciliations thereof, please refer to part seven of our MD&A for the nine months ended September 30th, 2023, under the heading explanation of non-GAAP measures. With that, I will now turn the call over to Michael Zakuta, Plaza's President and CEO. Michael?
Michael Zakuta: Thank you, Kim. Good morning. Our business remains strong and our outlook positive. Plaza's portfolio continues to exhibit outstanding resilience. Our experienced and dedicated team has demonstrated its knowledge and determination that has enabled us to move our business forward and navigate successfully in these times of macroeconomic and geopolitical challenges. We are continuing with our business plan to grow through developments and redevelopments, active leasing and recycling capital through the disposition of noncore assets despite these challenges. I recently attended the Canadian ICSC Conference in Toronto with our leasing team. We were surprised by the level of demand from major essential needs and value retailers. They're all looking to grow their Canadian brick-and-mortar store networks in the next five years. This creates new and compelling opportunities for Plaza and I am confident in our ability to seize these opportunities and grow our business. At the recent ICSC, we observed the important distinction between retailers in the discretionary versus nondiscretionary sectors. The nondiscretionary retailers were aggressively pursuing opportunities. We have been seeing this trend for some time as consumers focus on nondiscretionary and value retail spending at the expense of discretionary spending. Another takeaway from our ICSC experience is the increase in barriers to entry for our business niche. These barriers have increased significantly in the past few years. We will continue to benefit from this trend for two reasons. First, the populations in the markets we serve have generally seen solid growth, mainly through immigration. Our disciplined approach to site selection has ensured that our properties are very well positioned within their individual markets. As populations grow in our communities, our retailers are able to serve more people and in turn, lease more space and pay higher rent. Our healthy leasing spreads are a testament to both the quality of our real estate and the relationship we have with our retailer customers. Second, delivering new projects to best-in-class retailers within set schedules and financial parameters has become increasingly complicated. Success requires the right combination of experience, entrepreneurship, discipline and financial resources. As we have been continuously feeding our development pipeline throughout our history, we understand the complexities and have clearly demonstrated the ability to deliver both new development and redevelopment projects in Atlantic Canada, Quebec and Ontario. Looking ahead, we remain committed to our ongoing program of recycling capital by selling noncore properties and deploying the sale proceeds in new developments anchored by Canada's leading essential needs retailers. While uncertainties persist, our prudent financial management, exceptional customer service, combined with our experience in overcoming past challenges provide confidence in our ability to weather any storm and continue driving unitholder value. I will now turn the call over to Jim Drake, Plaza's CFO. Jim?
Jim Drake: Thank you, Michael. Good morning, everyone. Our results for the quarter were positive and we continue to set Plaza up for future growth. Total NOI for the quarter was up 1.7% over last year, with same-asset NOI up 2.8%. Lease-up and rent escalations and incremental NOI from developments all contributed to this growth. FFO for the quarter was up $660,000 or 6% versus last year due to the NOI growth just mentioned, lower interest expense, partially offset by properties sold. FFO per unit for the quarter at $0.102 was generally consistent with last year. AFFO for the quarter was up $1.1 million or 14% versus last year due to higher FFO and lower maintenance capital costs this year. AFFO per unit for the quarter at $0.085 was also up 6% versus last year. Under our development program, during the quarter, we substantially completed a few projects, including the redevelopments of L'AXE in Chicoutimi, an 80,000 square foot essential needs and value strip and Northern Avenue in Sault Ste Marie, a 180,000 square foot grocery anchored strip. As a result, we transferred $21 million to income-producing properties during the quarter, bringing the net year-to-date completions to $44 million. We also made significant progress on a number of other projects and anticipate additional completions over the next few quarters. These will all contribute to earnings growth going forward. On the leasing front, overall committed occupancy was 97.2% at quarter end, consistent with last year. We leased 1 million square feet across the portfolio year-to-date comprised of approximately 300,000 square feet of new leasing and 700,000 square feet of renewals. We are continuing to see improvement in our lease renewal spreads at 6.7% year-to-date or 8.4% excluding the renewal of one enclosed mall tenant and an automatic renewal of an anchor tenant at the same terms. On the balance sheet, our debt-to-assets ratio remained generally consistent with last quarter, down significantly versus last year at 50%, excluding land leases. At quarter end, we had only $6 million of mortgages maturing for the remainder of this year, which has since been addressed and a very manageable $37 million rolling in 2024 with an overall loan-to-value of only 46%. Although current interest rates remain volatile, the market for secured debt for a strong borrower like Plaza, it is healthy, and we continue to see significant interest in our mortgage offerings. We are currently seeing all-in fixed rates in the high 5s to 6% range. Liquidity at quarter end totaled $52 million, including cash, operating line and unused developments and construction facilities. We also had $13 million of unencumbered assets at quarter end. For our disposition program, year-to-date sales of noncore assets generated $28 million of net proceeds. These proceeds were generally recycled into higher yielding new developments and redevelopments, which are anchored by grocery, other essential needs and value retailers. The result is an improvement in the quality of our portfolio and future growth. These dispositions were also at prices that exceeded IFRS values by over 15% at a weighted average cap rate in the low 5% range. Regardless, we did record an $11 million write-down this quarter based on increased cap rates with our weighted average cap rate now at 6.8%. Those are the key points relating to the quarter. We will now open the lines for any questions. Operator?
Operator: Thank you. Ladies and gentlemen, we will now conduct the question-and-answer session. [Operator Instructions] Our first question comes from the line of Gaurav Mathur from Laurentian Bank Securities. Please go ahead. Your line is open.
Gaurav Mathur: Thank you and good morning, everyone.
Michael Zakuta: Good morning.
Gaurav Mathur: Just first question on the tenant base. You've spoken about the positive immigration trends, which are a net positive for the asset base itself. But given that the Canadian consumers also stretched, are you seeing any signs of concerns or distress amongst the current tenant base in your portfolio?
Michael Zakuta: Our tenant base is very much essential needs and value oriented. So, yes, we are seeing some stress for, again, as I mentioned, very discretionary products, and I can give you some color, met a retailer in the pet shop category. We said obvious, food sales are increasing very nicely. But all the other stuff, the toys for your pet, whatever those sales have dropped significantly. So I think that really is a strong reflection of what's going on out there. So you're going to feed your pet, but you're not going to buy some of the latest toy in the same ways you're going to feed your family or you're going to go to Dollarama and you're going to buy some value stuff, but maybe you're not going to buy a new sporting good element or something like that. So that's what we're seeing. Again, our portfolio, very, very simple, very essential needs oriented. So I can't -- so we don't see a lot of stress. But obviously, we hear some different antidotes, different stories about what's going on out there for the discretionary part of whatever our retailers sell.
Gaurav Mathur: Thank you for the color. And that leads into my next question. Just given that backdrop, I take that you're not expecting any major or material vacancies in the portfolio over the next sort of six to 12 months.
Michael Zakuta: No. I think the portfolio is very, very solid. And as I said, I'm surprised by the level of demand across the board.
Gaurav Mathur: Great. And then just switching gears here to the balance sheet. There's a fairly sizable chunk of your mortgage bonds payable coming up right about in January 2024 and then the remainder in June and July next year. What's the conversation with the lenders? And how you're thinking about addressing that as you go ahead?
Michael Zakuta: So the bondholders are individuals, and we're starting those conversations now. We anticipate renewing those for another six months or a year depending on the holder.
Gaurav Mathur: Fantastic. And then are there any sort of discussions on where spreads are currently and what you're expecting on that front?
Michael Zakuta: We're going to set the rates shortly when we think it's probably very similar to the maturing rates and those mortgage bonds are currently at 6%.
Gaurav Mathur: Okay. Great. Thank you for the color gentlemen. I'll turn it back to the operator.
Michael Zakuta: Thank you.
Operator: [Operator Instructions] The next question comes from Alexander Augimeri from CIBC. Please go ahead. Your line is open.
Alexander Augimeri: Hey, everyone. Good morning.
Michael Zakuta: Good morning.
Alexander Augimeri: Congratulations on the progress with your development pipeline. It looks like you guys are on track for another big completion next quarter as well. I was just wondering if you're still aiming to achieve that 7% to 9% unlevered return on the pipeline? Or do you have any color on where that's at now?
Michael Zakuta: So it depends on when the project was started. So the stuff that was really pandemic-oriented is at the low range and the stuff that started a little bit later is higher as we're able to achieve higher rents and better costs. So it's very project specific.
Alexander Augimeri: Okay. Sounds good. And just one for the thing. I just wanted to confirm your comment on the renewals. You said you're looking at the high 5% to low 6% range. And I think that's fairly in line with your current renewal rates, right? So no big change there.
Michael Zakuta: That's on the secured debt. So secured debt rolling next year is mid-4s or so. So it's a bit of uptick today. But I think the market is anticipating or possibly hoping that bond yields start to creep down next year. We're seeing some of that already over the last few weeks, and hopefully, that continues.
Alexander Augimeri: Okay. Sounds good and thanks for taking my question. I'll pass it back.
Michael Zakuta: Thank you
Operator: Thank you. Mr. Zakuta, there are no further questions at this time.
Michael Zakuta: Thank you, operator. We wish to thank all of our participants for joining us today and we'll see you next quarter.
Operator: Thank you, ladies and gentlemen, this concludes the conference call for today. Thank you for participating. You may now disconnect your lines.